Operator: Greetings. Welcome to the TSS, Inc. Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] I will now turn the conference over to your host, James Carbonara. You may begin.
James Carbonara: Thank you, operator, and good afternoon, everyone. Joining me on this call are Darryll Dewan, President and CEO; and Danny Chism, the company's CFO. As we begin the call, I would like to remind everyone to take note of the cautionary language regarding forward-looking statements contained in the press release we issued today. That same language applies to comments and statements made on today's conference call. This call will contain time-sensitive information as well as forward-looking statements, which are accurate only as of today, November 13, 2025. TSS expressly disclaims any obligation to update, amend, supplement or otherwise review any information or forward-looking statements made on this conference call or the replay to reflect events or circumstances that may change or arise after the date indicated, except as otherwise required by applicable law. For a list of the risks and uncertainties that may affect the company's future performance, please refer to the company's periodic filings with the SEC. In addition, we will be referring to non-GAAP financial measures. A reconciliation of the differences between these measures and the most directly comparable financial measures calculated in accordance with U.S. GAAP is included in today's press release. With that, Darryll, I will turn the call over to you.
Darryll Dewan: James, thank you very much. Good afternoon, everyone. Thank you for joining us today for our third quarter 2025 earnings conference call. The past 1.5 years and especially the past couple of quarters have been transformational for TSS as we scale our business and rack integration and strengthen our position as a leading integrator of AI and high-performance computing infrastructure. Through the first 9 months of '25, we delivered exceptional growth with revenues up 88% and adjusted EBITDA up 59% compared to the same period last year, and we generated positive cash flow from operations of $18.5 million. These results highlight both the strength and momentum of our business. That said, our third quarter revenues were down year-over-year, primarily due to lower revenues from procurement services. This business segment contributed over $30 million in revenue this quarter, but the exceptionally high revenue attainment in Q3 of last year created an unusual challenging year-over-year comparison. As we have discussed in prior calls and filings, procurement can fluctuate wildly from quarter-to-quarter, depending on the timing, the size and the revenue recognition method of the customer order. These effects can create quarterly variability, but they do not reflect changes in customer demand or the underlying strength of our business outlook. Year-to-date, revenues from procurement services have more than doubled. The bulk of our procurement business is with the Department of Defense. In the last 30 days, we have felt the impact of the government shutdown. Early in the shutdown, when its duration was uncertain, processing of certain deals stopped, although we remained optimistic we would close more business in Q3 and Q4. Now with Congress voting to reopen the government after a longer-term shutdown, the question is how long will it take to process the pipeline of paperwork on deals that were in motion. There is ample demand, and we do not expect deals to be lost in this process. However, without any information on the timing of closing of these jobs, we are going to be slightly more cautious about our Q4 forecast in this business segment. So now let's turn to our Systems integration business, where we provide AI rack integration services for many of the world's largest AI data centers. We delivered another quarter of solid revenue growth of 20%, fueled by growing demand for AI-enabled infrastructure. This segment continues to be a key driver of our higher-margin revenue and demonstrates the expanding footprint of TSS in AI and high-performance computing solutions. We opened up our new facility in Georgetown in May of this year after a very rapid build-out. We accelerated the build-out based on customer demand. While the full suite of capabilities was ready in June, we learned in Q3, there was more service and systems process work needed to complete before our primary OEM customer is ready to move larger volumes of racks to us. These improvements range from reworking certain shop floor process, integration with our ERP system with our customers, hiring of additional resources than previously believed would be needed, even working through physical security additions given the value of customer-owned equipment flowing through our 4 walls. These steps were all addressed in Q3. As a result, our rack volume processed in Q3 were well below what we had expected. It is important to note, however, this is not the result of a lack of customer demand, but rather more of a timing issue. I consider it a quarter of delay in ramping with significant learning by us along the way. Our constant focus is to deliver the best service possible to our OEM customer, and we are fortunate to have customers who truly view us as a partner and are very active participants in determining our operational requirements. I will elaborate further in a moment, but let me say we are seeing Q4 rack volumes significantly greater than we saw in Q3. On the cost side, we are again asked by our primary OEM customer to add more electricity capacity to the building to serve the next generation of chip technology. We have reached a point where the amount of equipment on site from our utility has caused higher monthly fixed charges irrespective of usage. There were some significant unabsorbed costs in the quarter as a result. Danny will provide more detail. But we must continue to make these investments to position ourselves to meet the trending demand of customers. In our Facilities management business, which includes our modular data center operations, revenues declined 19% year-over-year, but were sequentially up 7%. This segment represents the smallest portion of our overall business, approximately 4% of total revenue in the quarter, but it continues to drive and deliver high-margin contribution. We believe this business can grow. We're making strategic investments in it and are seeing early signs of new demand. We expected one more significant delivery in Q3, but that was delayed due to supply chain issues. We expect that business to flow in Q4. The AI data center market is expanding at a very rapid pace, well noted in all the business news. Over the past 2 years, our growth, operational excellence and deep relationships with key partners have positioned us extremely well to capitalize on this first wave of AI-driven investment. It seems to be accepted that we are in using my favorite metaphor, the first quarter of the AI game. There has been so much focus on AI training infrastructure and hundreds of billions and trillions of dollars being spent. Broad focus is beginning to shift to how AI infrastructure will evolve to include competing technologies serving various purposes. The market is seeing new blends of traditional, hybrid and edge systems. With our new facility purpose-built for AI integration, meaning very dense computing with extreme cooling requirements, we at TSS are well positioned to support the architectural evolution. We will continue to invest in facilities and expertise to meet the growing demand for the infrastructure to support new racks and systems that are designed for high-density compute and more efficient cooling and power consumption, aligning with our partners and industry trends. Certainly, the extended focus in AI is toward how we will ultimately be deployed and how those investing in AI software technology as well as required infrastructure will profit from their investments. This second quarter of innovation is extremely exciting. We expect it will bring new opportunities to the company. We at TSS have to remind ourselves how far we've come in a short period of time. Financial stability and strength to invest further in our capabilities and people is critical to our customers. Over 18 months, we have grown dramatically in terms of revenue, but also importance and our OEM customers want to see we have the wherewithal to invest alongside them. The successful completion of our recent secondary offering strengthening our balance sheet and provides us with additional capital to pursue and invest in strategic new opportunities and services that enhance shareholder value and improve consistency of revenue growth. As for the remainder of '25, we are on track for what we believe will be a record year for the company. We expect to set a strong rebound in adjusted EBITDA in Q4, reflecting higher rack volumes in SI. Given the lower Q3 revenues in SI and procurement, combined with the investments we made in additional electrical power to fuel continued future growth, we now expect full year '25 adjusted EBITDA outlook of 50% to 75% growth compared to '24. I will comment further on 2026 outlook in a few moments. At the same time, we're actively exploring strategic acquisitions, new partnerships and portfolio expansion, particularly in AI, edge computing and modular, which we believe can drive new and potentially faster organic growth in quarters and years ahead. Despite this speed of innovation and adoption, we believe we are still in the early days of AI and demand for high-performance computing and hybrid systems continues to accelerate. Our capabilities and partnerships are expanding, our pipeline is strengthening, and we are successfully executing the business strategy that has driven our success while planning and investing in a strategy that will drive our future. We are scaling our operations and positioning the company to capture a meaningful share of the rapidly growing and complex AI infrastructure market. With that, let me turn the call over to Danny for a more detailed discussion of our financial results. Danny?
Daniel Chism: Thanks, Darryll. I'll start with a look at the income statement for the quarter and year-to-date period, then provide a few brief thoughts on the balance sheet and liquidity. Consolidated total revenue in the third quarter of '25 was $41.9 million, down from $70.1 million in the same period last year. As Darryll mentioned, the decrease was primarily driven by variability in our procurement service line with non-procurement revenues up $1.2 million, or 13%. Revenue from procurement services totaled $31.1 million, compared to $60.5 million in the year ago quarter. Revenue in this segment is driven primarily by purchases from the federal government. As a reminder, revenue in this segment reflects a mix of gross and net deals with revenue recognized based on whether we modify the product or act solely as an agent. Revenue from Facilities management totaled $1.6 million, down 19% from $2 million in the same quarter last year. Facilities management continues to have strong strategic potential despite remaining our smallest segment. As Darryll mentioned, we see new opportunities emerging and expect to see a year-over-year increase in Facilities management revenues and gross profit in Q4, driven by discrete projects we foresee in the quarter's pipeline. Revenue from systems integration totaled $9.2 million, up 20% from $7.6 million in Q3 2024, driven primarily by the continued integration of AI-enabled racks for our largest customer. As Darryll mentioned, this growth was lower than we originally planned for the quarter. However, we expect this segment's revenue to grow substantially in Q4 and in 2026. Consolidated gross margin was 11.1% this quarter, roughly unchanged from 11.3% in the third quarter of last year. In the current quarter, we first started allocating the operations-related depreciation of our Georgetown facility to cost of revenues impacting the margin reported in the current quarter. Breaking our gross margin down by segment. Based on recorded GAAP values, procurement gross margins improved to 8.3% in the current quarter from 6.1% in the prior year quarter. When viewed using the non-GAAP gross value of all transactions, which we see as more of an apples-to-apples comparison because it puts gross and net deals on an even playing field, gross margins improved from 4.7% in the prior year quarter to 5.3% in the current quarter. Facilities management gross margins improved from 37% in the year ago quarter to 55% in the current quarter. As a result, gross profit from the FM business increased to $881,000 from $726,000 this quarter last year, even on 19% less total revenues. Systems integration gross margins decreased from 45% in last year's -- in the year ago quarter to 13% in the current quarter. As mentioned a moment ago, we first started allocating operations-related depreciation to this segment in the current quarter, accounting for 11 percentage points or about 1/3 of the overall decrease in margins in this segment. Additionally, in anticipation of higher volumes in future periods, we made incremental investments in CapEx this year beyond our original expectations. This is reflected in our $1 million operations-related depreciation expense this quarter. Looking forward, we expect operations-related depreciation in future periods to be at roughly this level as this represents a full quarter's depreciation of the new factory. It will increase in future periods if and when we make further investments, which we would make primarily with line of sight on any such investments further enhancing revenues and earnings. We also significantly ramped up the available electrical power in the building, which was 12 megawatts during Q3 2025 and now stands at 15 megawatts compared to just 6 megawatts when we first moved into the new Georgetown facility in May. This compares to only 2.7 megawatts we had available in our prior Round Rock facility. We anticipate the enhanced power availability will enable us to integrate future generations of rack technology, further driving incremental revenues in future periods. During Q3 2025, electrical power costs were just over $900,000 with almost $800,000 of that being fixed costs regardless of the power actually consumed. We anticipate revenues in future periods will more than offset the incremental power costs. But in the current quarter, we estimate only about 20% of those costs were recouped through charges to our customer. Our contract with the City Power Company stipulates the quarterly fixed power costs of the 15 megawatts currently available to us will increase to approximately $866,000 quarterly beginning in the fourth quarter plus the variable rate of power actually consumed. SG&A expenses of $5.2 million in the third quarter of 2025 increased 35%, or $1.4 million over this quarter last year. Just over half of that increase relates to noncash stock compensation with the remainder related to higher headcount and related compensation costs to support the growing scale of the organization, combined with higher accruals for incentive compensation tied directly to the year-to-date improvements in sales and earnings. Also included in the current quarter are incremental costs for the 2025 annual audit and ongoing SOX 404(b) implementation. Depreciation and amortization expenses not allocated to COGS were $328,000, up only about $120,000 compared to $208,000 this quarter last year. The increase is related to amortization of our ERP implementation costs, along with depreciation in other assets related to the overall growth of the business. In the third quarter of 2025, we reported an operating loss of $931,000 compared to operating income of $3.8 million in the year ago quarter. The change was driven primarily by the $3.3 million decrease in gross profit, including the impact of higher ops-related depreciation and power costs discussed a moment ago, combined with the $1.4 million increase in SG&A expenses. Even after absorbing the cost of incremental operations-related depreciation and power expansion, we continue to expect operating income for the full year to exceed last year's operating income of $8.2 million. Interest expense decreased to just under $1 million in the third quarter of 2025, compared to $1.3 million in the year ago quarter. The decrease was due primarily to the lower factoring costs on our receivables, which scales directly with gross billings. Looking ahead to the fourth quarter, we expect interest expense on the bank debt to tick up as the $5 million borrowed in the middle of Q3 will be outstanding for the full quarter plus higher factoring costs related to what we expect to be additional revenues in Q4. Most of the Q3 interest on the bank loan was capitalized into construction costs during the quarter. Because construction was completed in Q3, Q4 will show a full quarter of just over $400,000 of interest expense related to the outstanding debt plus any cost from the factoring of our receivables. The net result of these key items is a net loss for the third quarter of 2025 of $1.5 million and a diluted loss per share of $0.06, which compares to net income of $2.6 million and diluted EPS of $0.10 in the year ago quarter. Adjusted EBITDA, which excludes interest, taxes, depreciation, amortization and stock-based compensation, was $1.5 million compared to $4.3 million in the prior year quarter. Now let's take a brief look at the year-to-date results. For the 9 months ended September 30, '25, total revenues were up 88% to just under $185 million, compared to $98 million in the year ago period. By segment, procurement revenues increased by 100% and Systems integration revenues increased by 78%. These increases were somewhat offset by a 32% year-to-date decrease in revenue from Facilities management, primarily due to the timing of discrete projects and a smaller decrease in ongoing maintenance revenues. Gross profit for the first 9 months of 2025 increased 39% to $21 million, including the effect of absorbing $1.6 million of operations-related depreciation in the current year-to-date period, which we did not see this period last year. SG&A costs were 74% of gross profit in the 2025 year-to-date period, compared to 62% in the same period a year ago. Just over 1/3 of the increase in SG&A is related to noncash stock compensation for the year-to-date period. After a $650,000 increase in net interest expense, year-to-date net income was $3 million, compared to $4.1 million in the first 9 months of 2024. Year-to-date diluted EPS was $0.11 in the current period, compared to $0.16 last year. Now taking a quick look at the balance sheet. As of September 30, 2025, we had $70.7 million of unrestricted cash and cash equivalents, plus another $5 million of restricted cash securing our bank loan, up from just $23.2 million at year-end 2024. [Audio Gap] $3 million from a stock offering, which we anticipate will allow us to make strategic investments to grow and diversify our business, as Darryll mentioned. And year-to-date, we've drawn down $16.3 million on our construction loan, including $5 million in the current quarter when we exercised the accordion feature on our bank loan. Combined with $18.5 million of cash flow from operations, these sources of cash funded the $32.2 million of CapEx year-to-date, primarily for the build-out of our state-of-the-art integration facility in Georgetown, Texas, along with $4.9 million of treasury stock repurchases pursuant to employees' net settlement upon investing in restricted stock and option exercises. Net working capital significantly improved from $1.3 million at the end of 2024 to $34.3 million at September 30, 2025, primarily reflecting the capital raise just mentioned and operating cash flows, net of cash used to fund long-term capital assets and treasury stock repurchases. Due to the conversion of our debt to a term loan in July 2025, $5 million of cash that is a deposit securing our loan was reclassified from a current asset to a noncurrent asset restricted cash. As of September 30, 2025, we met all obligations to receive $6.8 million of tenant improvement funds from our landlord, reimbursing us for CapEx we've already invested to date. We anticipate receiving those funds this month, further enhancing our liquidity and working capital. For the first 9 months of 2025, we generated net cash inflows from operations of $18.5 million, compared to $36.9 million provided in the first 9 months of last year. The most significant driver of the change was a $5.3 million paydown of accounts payable and accrued liabilities in the current year-to-date period compared to a $37.6 million increase in payables year-to-date 2024, partially offset by higher cash flows in the current period related to outstanding inventory balances and deferred revenues. With that, I'll turn the call back over to Darryll for some closing thoughts.
Darryll Dewan: Danny, thank you very much. In summary, while we are pleased with the overall trajectory of our business, year-to-date revenues have more than doubled, highlighting strong underlying demand. Our balance sheet is stronger. Our pipeline is growing. Our customer relationships are deeper. We're not satisfied, and we know we've got work to do. Our investments in our facility and people have positioned us well to capture more share of the accelerating demand of the AI marketplace and high-performance computing infrastructure, and we're exploring new ways and paths to accelerate even more quickly. The additional funds we raised this quarter enable us to move quickly to act on opportunities they arise and invest strategically for our long-term growth and diversification. A press release went out a little while ago announcing that Vivek Mohindra has joined our Board. We are very excited about Vivek joining. Vivek is a visionary industry. He has led strategy at Dell Technologies, and he currently serves as Strategic Advisor to the Chief Operating Officer and Vice Chairman of Dell, focusing on the trends and direction of the AI infrastructure market. As you know, Dell is leading the industry, providing solutions to modernize data centers and is committed to delivering AI innovation. Vivek will be an incredible resource for us as we work towards broadening our capabilities and our customer base. Turning to our outlook for Q4 and '26. As I said earlier, as a result of the lower rack volumes and incremental investments we made in Q3, our annual EBITDA growth may be modestly lower than we previously guided. Again, ramping a new facility is imperfect, and I'm pleased we are now seeing volumes climbing quickly. Based on the current pace of rack volumes in SI, we expect full year 2025 EBITDA growth of 50% to 75% over last year. This still represents a very healthy quarter -- fourth quarter for an SI, although it also reflects a more conservative approach to procurement as we wait to see how the government gets back to work. As the Q4 strength carries us into the New Year, we expect organic growth to result in another record year in 2026, and we are providing initial guidance of 40% to 50% organic growth on EBITDA year-over-year, compounded on top of what we expect already to be a record year this year. This guidance reflects strong but realistic growth in annual rack volumes and modest growth in procurement. We will actively pursue inorganic options, including strategic acquisitions, partnerships and portfolio expansion to drive future performance beyond this level. And we recently raised capital will help us specifically give us the ability to seize such opportunities. As always, we appreciate your support, and we thank you for your time today. I'm very proud of our team, and we remain committed to executing our game plan. Thank you for joining us on this journey. Operator, we can now open the call up for questions.
Operator: [Operator Instructions] Our first question comes from Kris Tuttle with Blue Caterpillar.
Kris Tuttle: Congratulations on all the work that you did this quarter. I know that the financial results were not what you wanted, but you accomplished a lot in the quarter with the new facility. A couple of questions. One of them is just in terms of what you're seeing in your end markets, that is the customers you're delivering the servers to. There's been a lot of discussion around a shift to more inference away from training and more enterprise demand from companies other than the hyperscalers. So I'd be interested in your commentary around that. And then the second question is, I apologize for not getting this, but congratulations on your new Board member, but you also mentioned that, that was something you expected to help you grow and diversify your customer mix. And obviously, you have a pretty good customer in Dell already. So maybe you could give some additional color on that.
Darryll Dewan: Yes, happy to, Kris. Good to hear from you. Thanks for the questions. On your first question, it's -- we've been blessed that we've been very focused on the more complex, larger CSP solution providing. And that demand has not gone away. But we are experiencing and we expect to see more enterprise activity. And we're starting to see some of that as we speak. The AI industry and how the technology is moving from GenAI to agentic, the whole transition is underway. I think like I said earlier, we're still kind of early in the game to really understand what that end user customer is going to do, but there's clearly an uptick in the interest and demand on technology. So that's number one. Number two, as it relates to Vivek, if you look at his background coming from McKinsey and Freescale and M&A and venture world, Vivek presents an incredible experience level that frankly goes beyond his current assignment with Dell. There's no inference in between what we're doing here. If you can read between the lines, we're very serious about expanding our routes to market. We've done some preliminary planning with Vivek already, and we're going to do more soon. And I think what this really underscores is very candidly, we've been talking about growing and doing some strategic things. We've tried a couple of things. We are now positioned better than ever to take the steps to go make that happen. And I'm excited about Vivek helping us not only with our current customer but beyond.
Kris Tuttle: Okay. All right. Great. Well, listen, like I said, a lot accomplished this quarter. It's all about the numbers. So I'll follow-up with you later on, and I'll get off the soapbox here and let other people ask questions.
Operator: The next question comes from [ Chris Benjamin ], private investor.
Unknown Attendee: I've been a shareholder now for the better part of a year. And I realize that basically, you're a Dell client. What I'd like to know is you've mentioned in your conference call that you have clients, how many clients do you have would be the first question. The second question I have is that related to the first question, when you -- if you win a new client, why don't you announce or make a public announcement that you have a new client on board, I think that would help the stock price. And the last question I have is, do you plan on any more capital raises?
Darryll Dewan: Chris, good questions. The first one on -- if I can answer that is we really -- we have other clients. We don't really talk about our clients even though they're non, if you will, other than Dell. And we've got multiple lines of our business. If you recall, we've got our rack integration business, the systems integration business. We have the modular business, and we also have the procurement services business. We do a lot of business in procurement services directly with a channel partner, if you will, who's related to Dell, but it goes to an end-user customer. And still quasi, if you will, not quasi. It is a Dell transaction. The facilities management business, the modular data center business, we actually work with other OEMs. And -- but we don't talk about it. We don't -- I mean, it's a good question why we don't broadcast it. We really don't broadcast a whole lot of anything to be quite blunt. We just stay focused and try and do our job. I mean that's right now where we're at. But at the same time, as we strategically grow and do the things we're talking about doing, i.e., M&A or joint ventures or expanding, you will hear more about that activity. That's in the game plan. So I don't know if that answers all your questions, but I think I did. You're talking about Dell and new customers. We will definitely speak more loudly as we grow and gain new routes to market.
Unknown Attendee: I appreciate that. I realize that -- well, as far as the stock price is concerned, it just seems that -- and I know I'm just an individual investor, but I've got a couple of thousand shares. It just seems that someone else is pushing the stock price around. And if there was just more talk on your side, just announcing anything, maybe it would just help the total lack of information coming out of the company with the exception of your quarterly conference calls. And the only other question I have was, do you plan on any more capital raises?
Darryll Dewan: Right now, the answer to that is no. We think we're well positioned with what we've done for the short period. Eventually, maybe. But right now, we don't have any plans. And I've said before that I'm very conscious of our investor base. And the last thing I want to do is dilute our investors. But at the same time, we want to grow and we want to take strategic -- make strategic decisions to grow. And the converse is if we didn't do what we're doing here, we go out of business, period end of story. So we wouldn't even have a story. So I think where we're going is we could raise more money, but there's nothing planned at the moment. And by the way, going back to your question, if I can add one more thing about speaking more loudly, we would love to do that, and we plan to do that. And I don't think any of us sit here during the day and let's go figure out how we can -- we don't worry about the stock price. We worry about the long game and what we're trying to do to create value.
Operator: We have a follow-up question coming from Kris Tuttle with Blue Caterpillar.
Kris Tuttle: One thing I just neglected to ask about is, could you talk about your -- the mixed vendor rack integration that you do? I know it's a small part of the business today, but could you talk about what it was in the quarter and what your expectations are for that going forward?
Darryll Dewan: Sorry, Kris, your questions, you expired to the number of questions you could ask. Call back next quarter.
Kris Tuttle: Jump back on, but I felt like I got a little tiny bit of a window here.
Darryll Dewan: I'm not sure I understand what you mean by the mix of the...
Daniel Chism: Mixed vendor.
Darryll Dewan: ...vendor.
Kris Tuttle: Rack integration, where it's a -- it's not all Dell, it's other stuff. So it's -- I think it's a small part of the business today, single-digit millions, but something we talked about when I was down there. So maybe I'm mistaken, but you had that business that seemed like an interesting part, small though it is, that could expand.
Darryll Dewan: Yes. We don't talk about it because it's really kind of confidential to the company. I mean it sounds like I'm trying to hide behind a wall, but I mean we just don't talk about it. And it's as you know, this facility is a very secure facility. It's very tight with our existing customer, and we don't want to do anything that would jeopardize our relationship in that way, and we don't. So the configuration services business is a little bit more in the multiple providers, but largely, it's all done with the teamwork and collaboration with our customer, our key customers. So there's not much else going on in terms of the other technology that you're asking about.
Daniel Chism: Yes. The other one, Kris, that I'd point out, when you think about, particularly with the AI rack integration, there aren't that many companies -- that many computer OEMs out there doing that, right? So while we deal primarily with one customer, we are integrating racks that end up at many different companies. So we're directly contracting with them, but yet our -- what we touch, what we integrate ends up in a lot of different places. So there's actually a little more diversification just by virtue of that, even though we have to formally disclose that our business is technically with one customer.
Kris Tuttle: Yes. That's helpful. I didn't mean to put you guys on the spot, and that is helpful.
Operator: [Operator Instructions] The next question comes from [ Brad Stevenson ] with Breakout Investors.
Unknown Executive: So I had a couple of questions. I saw -- you talked about operational requirements or unforeseen operational requirements in Q3 that affected your rack volumes. Can you -- I guess a couple of things around that. Could you elaborate a little bit more about what that means? Is it just strictly related to -- I would assume it's not strictly related to power availability, but maybe something else. But then kind of a second part to that question, do those volumes get pushed into a future quarter? Or were they handled somewhere else? Or do you know?
Darryll Dewan: So 2 parts to your question. The first part is it's a little embarrassing to say this, but it's fact. We -- its power did play into it. We needed more juice, and we made that investment in Q3 to get out in front of things. Number two is as we were integrating our ERP system here, the ability to better manage and tightly manage our inventory and reporting did play a factor. So we've got that fixed, and that did get in the way of volume. Third is we had a lot of new people, and we were -- we just fixed that by hiring a Director of Operations that reports to Todd Marrott, our Chief Operating Officer, to expand his management team. And that's been -- we've got a new fell on Board, and he's done a phenomenal job in a very short period of time. Another piece, which we didn't have -- soon enough, if you will, was a communications vehicle where we put everybody that needed to be in the room at the same time. And we relied a little too much on the presumption that everybody that needed to know knew, and they didn't. That's a nice way of saying, now we've got that fixed. We do a daily morning and a daily afternoon session with all the people involved, not only with our company, but our key customer, and that's proven to be phenomenally beneficial. So it's like the old story, the little things make the big things. It wasn't one thing, but we needed to improve and we've taken steps to go do that. So we lump that into procedures and process improvements, and we're good. So it's a learning opportunity for us. And unfortunately, it did get in the way of some volume. And where that volume went and went -- I can't tell you where it went, but it didn't come to us. I can tell you that much. And we're going to do everything we can to prevent that from happening again.
Unknown Executive: Okay. Well, that's good news. That's solves things that can be corrected, right?
Darryll Dewan: Yes. And I'll say that I know you're going to probably probe at this one, and we were having a conversation about how far you're going to let me talk today. We will do more rack opportunities and integrations in Q4 than we've ever done before. So we're on the right track.
Unknown Executive: Awesome. I appreciate that. That's great color. I was -- I want to say pleasantly surprised that you -- I think I heard you give guidance for the full year 2026, 40% to 50%.
Darryll Dewan: You're right. Yes, sir.
Unknown Executive: And so -- of course, in my brain, it caused me to automatically think has visibility gotten that much better? Or what would you say would allow you to be able to forecast that far out now?
Darryll Dewan: If you go by segment, the answer to your question across the board is yes. We're very good and we've improved significantly on our communications and our visibility in each business segment. And so the answer is yes. I mean I can -- there's no magic to it other than we've got a little bit -- we got a lot more visibility going on. And I think if you go to a month ago when marquee customer did their analyst meeting in New York City, they raised their guidance, their pipeline. You've heard their executives talk about the visibility they have in the number of customers that are buying servers and ultimately racks. And I think it's going in the right direction for all of us, and we're happy about that.
Unknown Executive: Awesome. And then I've got one more. The equity raise using it for expansion for growth outside of Dell, I think, is the general theme there. Do you see or kind of fast forward or looking at your crystal ball, do you see a time when we're going to -- when you'll release a PR telling us, hey, we've done this deal or that deal, and this is what some of this money is being used for. Will we get that kind of an answer to that? Or will we just sort of see it over the course of quarterly results on a go-forward basis?
Darryll Dewan: That's a very good question. And the answer in a short answer is yes. And we expect -- we expect to make things happen sooner than later. There's multiple different paths that we're exploring M&A in a way that's complementary to what we do today. Joint venture is another discussion. And expanding into areas that -- I don't want to give away too much here, but expanding into ways that we can leverage what we do to the benefit of our current customer also to others, to the end user customer directly is of interest to us. So we're going to map that plan out. I'm pleased that -- I mean, I'm very excited. We are very excited about Vivek joining the Board. He's a great addition to the Board that we have today. We're blessed that we've got a good team. And Vivek brings an exceptional amount of focus on the strategic planning part and understands our industry. So there's things we can do. There's things we shouldn't do. And someone once told all of us that you start off by building a strategy by deciding what you're not going to do. And there are certain things we know we're not going to do. I know we're not going to put somebody on the moon. So we can go plan from there. But we're very serious about doing the expansion, as we talked about to get new routes to market, new revenue. And I would expect that you'll see something sooner than later.
Unknown Executive: Okay. Great. Great. And then do you -- I said that was my last question, but your answer caused me to have a follow-up on that. Do you see being able to use the current facility for others, maybe for some of that expansion besides Dell? Or is that going to have to take place in another location? Or do we know that yet?
Darryll Dewan: It really depends -- good question. It really depends on what the opportunity is. Remember, we also have the other facility in Round Rock that you're probably going to ask another question, what do you plan to do with it? Well, we can sublease it, and we're talking to people about doing that. And I have a feeling that we're going to use some of that space to broaden our go-to-market footprint. So we're not rushing out the door to go rent that out and sublease it. But more than likely, it would involve doing something somewhere else.
Unknown Executive: Okay. Well, I appreciate that, and that's -- those are great answers. I'm going to go through -- I didn't have time to go through your 10-Q and all that yet, but I'm going to do all that and then send you a whole bunch more questions probably, but I appreciate it.
Daniel Chism: You couldn't consume 40 pages of detailed documents in an hour? Come on, Brad.
Unknown Executive: I mean, well, AI does help with that. You can't -- yes -- but yes, I like to read it myself, so.
Operator: The next question comes from David Bastian with Kingdom Capital Advisors.
David Bastian: So looking at your guide here, kind of what you're saying about the fourth quarter and then about 2026, it seems like you're basically saying the run rate on this facility is somewhere in the $5 million to $7 million of EBITDA per quarter. Am I interpreting you correctly?
Darryll Dewan: Yes.
David Bastian: Okay. And I guess, does that represent running mostly at full capacity? I think a lot of us were expecting this is kind of going to be our first quarter to see what full capacity look like. Obviously, there's been a few weeks of delays here, but you're talking about Q4 and the guidance you're giving suggests that, that is going to be what we're seeing here once that quarter is finished.
Darryll Dewan: No. It's not full capacity. I'm not being feisty with you. I'm just trying to answer your question.
David Bastian: No, I just want to understand how much -- go ahead.
Daniel Chism: No, Darryll's point is spot on. We've got significant additional capacity that we could grow into.
David Bastian: Okay. So yes, because I mean again, the 40%, 50%, are we thinking about that as growth off of this full year or off of Q4? Again, just to make sure I'm not misinterpreting what you're saying here.
Darryll Dewan: Full year.
David Bastian: Full year. Okay. And so then based on that, if you guys are going to go do M&A, are there opportunities in the market right now that are available to you that would be accretive to -- if you're around $25 million to $30 million of EBITDA next year on what is right now, roughly $300 million, $350 million market cap. I mean that's -- are there opportunities out there that are accretive for you guys at that valuation? Or do you think you can grow that incrementally by doing M&A here?
Darryll Dewan: What I've learned, David, is that there's a lot of work that needs to go on to do a deal. It's not easy, but it's doable, and it happened all the time. So we're prepared for that. And the answer to your question is yes. We've got some line of sight. And yes, accretive and yes, exciting. And it's -- I think going back to a comment earlier, it's the little ones that add up. I mean, a little bit here, a little bit there, given the size of our company and the money we've raised, I think it's -- there are some -- there's a couple that are really exciting to us. So the answer is yes.
Operator: I would now like to turn the floor back to management for any closing remarks.
Darryll Dewan: Okay. Thank you, everybody. It's Darryll. I think what I want to say is over the period of time recently, we've taken some very methodical steps intentional and designed to position us to scale and grow. As many of you know, we uplisted on NASDAQ. We raised money. We've had some very powerful people to our Board. We've invested in our facility and infrastructure. And we're playing the long game, but we're playing to win. And what we're trying to do is make sure that we're as open as we can be in these calls. But I just want to make sure that everybody knows that we are very optimistic about our future. We're very focused on execution. At the end of the day, it doesn't matter if you don't put points on the board as we know, as we're sitting here today having this conversation. We've got a long-term view, but we know that we're growing, and we need to keep ahead of what's going on in the marketplace, and we need to move quickly. So we're very committed to that. And I just want to make sure that everybody on the call knows that we thank you for your support and glad you're coming on this journey with us. So thank you for your time.
Operator: Thank you. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.